Operator: Greetings, and welcome to the NeoGenomics First Quarter 2012 Financial Results. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Doug VanOort, Chairman and Chief Executive Officer. Thank you. Mr. VanOort, you may begin. 
Douglas VanOort: Thank you, Rob. Good morning. I'd like to welcome everyone to NeoGenomics' first quarter 2012 conference call and introduce you to the NeoGenomics team that's here with me today.
 Joining me this morning are Steve Jones, our Executive Vice President for Finance; George Cardoza, our Chief Financial Officer; Bob Gasparini, our Chief Scientific Officer; Jerry Dvonch, our Director of External Reporting; and in addition, Doctor Maher Albitar, our Chief Medical Officer, is joining us by phone from our Irvine, California office.
 Before we begin our prepared remarks, Steve will read the standard language about forward-looking statements. 
Steven Jones: This conference call may contain forward-looking statements which represent our current expectations and beliefs about our operations, performance, financial condition and growth opportunities. Any statements made on this call that are not statements of historical fact are forward-looking statements.
 These statements, by their nature, involve substantial risks and uncertainties, certain of which are beyond our control. Should one or more of these risks or uncertainties materialize or should the underlying assumptions prove incorrect, actual outcomes and results could differ materially from those indicated in the forward-looking statements. These forward-looking statements speaks only as of today, and we undertake no obligation to update any such statements to reflect events or circumstances after today. 
Douglas VanOort: Thanks, Steve. I'll begin our call today with some brief remarks about our results for the first quarter of this year and then comment on a regulatory issue expected to impact our industry in the second half of the year. I'll then turn the meeting back over to Steve, to discuss our financial results in more detail.
 NeoGenomics performed well in the first quarter. Sales volume was very strong, service levels were excellent, productivity improved and new test development progress was encouraging. As we ended the quarter, our pipeline of new client prospects was healthy.
 Overall, we were pleased with our teams' performance and with the financial results they generated. Once again, we reported the strongest quarterly year-over-year revenue increase in our corporate history. Revenue for the first quarter was $15.2 million, an increase of $6.4 million or 72% compared with last year's first quarter. Revenue was $160,000 higher even then the top end of our upwardly revised guidance we issued in early March.
 On a sequential basis, first quarter revenue was up $2.3 million or 18% from the strong results we posted in the fourth quarter of 2011. As you know, our business has gained momentum with year-over-year revenue growth accelerating in each of the past 4 quarters.
 Test volume grew 75% compared with the first quarter of last year, driven primarily by a growth in the number of new clients. We have been able to serve clients with a more comprehensive product offering and are also benefiting from a larger share of work for many of our existing clients. We're adding new clients and we are gaining market share.
 We experienced growth in all of types of genetic testing we performed. The strongest growth came from molecular testing, which grew by over 235% compared with our -- driven by our expanding test offering. FISH and traditional pathology testing also grew faster than our average growth rate as our service levels were competitively strong. In fact, overall service levels improved despite handling the substantially increased volume. We believe that our service levels continued to be among the best in the industry.
 Productivity improved as well. Gross margins grew to 47.1%, primarily as a result of a 28% improvement in the average number of tests completed per lab employee versus quarter 1 2011.
 On a sequential basis, productivity per lab employee improved by 13% from quarter 4 2011. We became more efficient with the additional volume, and process improvements are beginning to drive productivity gains. We believe there are significant additional productivity gains that can still be achieved and we're working very hard to do so.
 The productivity of our sales force was also much better with sizable gains in revenue per representative in most of their 20 territories. Clearly, we're benefiting from significant efforts on training and development, and on managing the team in a process-oriented and more disciplined manner.
 We continued to leverage other areas of our company as well and saw a continued decline in SG&A costs as a percentage of sales from 52% last year to 41% this year. These productivity gains allowed us to deliver 24% of our incremental revenue growth to the bottom line.
 We launched a number of exciting new initiatives during the past quarter designed to gain future efficiencies. Laboratory efficiency initiative center around a number of best practice team projects coupled with numerous laboratory information system changes. We believe we can leverage these projects to improve process quality and lower costs at the same time.
 We're particularly excited about our new test development initiatives. We're working and investing to develop new products or technologies in virtually every area of our business. During the quarter, the most significant areas of innovation activity involved an expansion of our molecular and immunohistochemistry test capabilities. 
 Molecular testing is a very fast-growing segment of our business and we intend to have one of the most advanced molecular capabilities in our industry.
 In immunohistochemistry, we're adding many new antibodies and digital imaging to our product offering. 
 Molecular and immunohistochemistry products are being requested increasingly by clients. 
 On a longer-term development test basis, we have also begun working on exciting development opportunities related to our licensing agreement with Health Discovery Corporation. As you know, our objective here is to develop tests that we may offer on a proprietary basis. The organization is very busy but we believe it's aligned, focused and performing well. 
 At this point, I am going to change topics and discuss a regulatory change, which is expected to take effect on July 1 and impact NeoGenomics in the second half of this year.
 As we noted in a press release issued in early March, the so-called TC Grandfather Clause is set to expire on June 30. Billing practices covered by the TC Grandfather Clause have been in existence for decades, and the Grandfather Clause has been continually extended by Congress since 1999. Most experts now believe the clause will not be further extended. The TC Grandfather Clause has allowed laboratories to bill Medicare directly for the technical component of laboratory techincal performed for hospital patients when such tests are reimbursed from the Medicare Physician Fee Schedule. All but a few of our hospital clients are grandfathered hospitals.
 After expiration of the TC Grandfather Clause, laboratories will be required to build hospitals direct -- hospitals directly for these services instead of billing Medicare. Unfortunately for hospitals, they will incur additional laboratory costs but will receive little or no additional revenue to offset the additional cost.
 The impact of this regulatory change has been difficult to analyze because it affects long-standing practices. And we don't have full information about hospital cases that come to NeoGenomics through pathology practices or how this will affect ordering patterns and other dynamics.
 Factoring in a number of these variables, we currently believe expiration of that TC Grandfather Clause will affect the billing practices on 16% to 18% of our total revenue and will cost NeoGenomics' overall average revenue per test to decline by 5% to 8% beginning in quarter 3.
 Volume may be affected as well. We may benefit from additional volume if certain hospital business is competitively bid and in cases where small hospital labs close and send their work to us. In fact, we are already aware of such cases.
 In competitive bidding situations, we intend to maintain our pricing discipline and will not serve hospitals if the business is not profitable for us. 
 Thankfully, NeoGenomics is better prepared to deal with this regulatory change than ever before. Expiration of the TC Grandfather Clause will not have a material affect on our strategies or objectives. We continue to be focused on growth, productivity, process improvements and innovation, and we intend to maintain our focus on profitability. We believe the process we began last year to improve our laboratory productivity will enable us to fully absorb these price reductions in fairly short order. However, we do expect to experience a reduction in profit in quarter 3 to around breakeven and then expect to resume incremental profit growth in the fourth quarter.
 We noted in today's press release that we experienced a similar dynamic last year. Between quarter 4 2010 and quarter 4 2011, our overall average revenue per test decreased by approximately 6.3% due to reductions in the average reimbursement of bladder cancer FISH testing services and a limitation on reimbursement for the number of flow cytometry markers. However, as a result of productivity improvements, our gross margin increased by 60 basis points over the same period.
 We believe that allowing the TC Grandfather Clause to expire is bad for our health care system. Hospitals were already under considerable cost pressure and this extra expense is not going to help. In addition, it's well-documented that medical testing makes up just 3% of total health care expenditures in the U.S. but that results inform approximately 70% of treatment decisions. In particular, genetic and molecular tests save healthcare costs by allowing physicians to more accurately characterize cancer and tailor personalized medicine treatment regimens optimized for each patient's unique situation. Personally, we don't see how this is good for America.
 Along with the college of pathologists and the American Clinical Laboratory Association, NeoGenomics has taken a leadership role in lobbying for Congress to extend or permanently fix the TC Grandfather Clause. There are 2 bills pending in the House and one in the Senate to do just this, and we urge everyone listening to this call to write to your Senators and Congressmen. There is a link on the homepage of our website that will allow you to do this in an automated fashion.
 To summarize my remarks, I'd like to make a few key points. 
 Our first quarter results were excellent and reflect an underlying strength in our business model and organization. We continue to make progress building and developing our company, and we are now beginning to see those efforts yield improved financial performance. We continued to work hard on revenue growth and productivity initiatives, and are investing in our people and in the development and launch of a number of new tests. We are also maintaining our focus on process discipline and on profitability. We're pleased and proud of our company's quality and service levels. We have a flexible business model, an expanding test menu, a new product portfolio and a strong team. We believe there are excellent growth opportunities for NeoGenomics well into the future.
 So as a team, we're excited about the company and its prospects and are intensely focused on continuing our growth momentum in the coming quarters.
 I'll now turn it over to Steve to comment more fully on our financial results. 
Steven Jones: Thanks, Doug. I'll start by reviewing some of our financial and operating metrics, and then we want to open it up for questions. Since Doug has already reviewed our revenue metrics, I will start with our operating metrics. 
 The total number of tests reported in the first quarter increased by 75% over Q1 last year. Average revenue per test was $563, a 1.6% or $9 decline from the $572 recorded in Q1 last year. This decrease was almost entirely due to a shift in our test mix. Lower-priced molecular and histology test now make up a greater percentage of our total revenue and higher price flow cytometry tests have decreased as a percentage of revenue over the last year. 
 Molecular and traditional pathology testing are now the fastest-growing components of our revenue mix.
 Gross margin improved by approximately 320 basis points in Q1 to 47.1% from 43.9% in Q1 last year. This improvement came despite the reduction in unit prices I just mentioned and is directly attributable to improved productivity compared to quarter 1 last year. Our average cost of goods sold per test decreased by $23 or 7.3% in Q1 2012 compared to Q1 last year.
 Thus, when netted against the average revenue per test decrease as we still had an increase in average gross margin per test of $14. The biggest single component of this margin increase came from increases in productivity per lab employee. As Doug mentioned, we had a 28% year-over-year improvement in the number of tests completed for laboratory FTE from Q1 2011 to Q1 2012.
 Turning now to SG&A. Total sales and marketing expenses increased by just $283,000 or 16% versus Q1 last year despite the record $6.4 million increase in revenue. Put differently, this increase in sales and marketing expense was just 4.4% of the incremental year-over-year revenue growth. This quarter, you will notice that we have started a break out research and development expenses separately. Our R&D expenses are mostly related to new test development activities. R&D expenses in Q1 increased by $378,000 year-over-year from Q1 last year. This increase is right in line with our comments in February that we expect our R&D expenses to increase in 2012 by $1 million to $1.5 million incrementally over what we were otherwise planning as a result of the significant increase in our molecular test expansion activities and our licensing agreement with Health Discovery Corp. As we discussed in the press release, we expect to bring up at least 25 new molecular tests this year.
 The remaining general and administrative expenses increased by $1.05 million or 39% from Q1 last year, primarily as a result of increases in payroll, recruiting, information technology and incremental bad debt expense on the revenue increase versus last year. 
 Total SG&A expense increased by $1.7 million or 37% on a year-over-year basis. Total SG&A expense as a percentage of revenue decreased to 41.4% from 52% in Q1 last year. Net interest expense in the quarter increased 42% from Q1 2011 as a result of increased borrowing under capital leases and our bank facility.
 Net income for the quarter was $603,000 or $0.01 per share compared to a net loss of $893,000 or $0.02 a share in Q1 2011. This $1.5 million increase in profitability implies that 23.5% of the incremental $6.4 million in year-over-year revenue growth fell to the bottom line in the first quarter.
 Depreciation and amortization was $763,000 in Q1 and EBITDA was $1.6 million. Adjusting for the $151,000 of non-cash charges relating to stock-based compensation and warrant amortization, our adjusted EBITDA for the quarter was $1.8 million, which is a $1.9 million increase over the negative $97,000 reported in Q1 2011.
 We finished the first quarter with 246 full-time equivalent employees and contract doctors as compared to 238 at December 31 and a 181 at March 31 of last year. 
 Our accounts receivable balance net of allowance for doubtful accounts was $10.7 million at March 31, up approximately $2.8 million from the $7.9 million balance at December 31. Our AR balance expressed in terms of day sales outstanding was 64 days as of March 31, up from the 56 days reported at December 31.
 For those of you that follow such things, our AR balance usually increases significantly in Q1, as most patients have not yet hit their deductible limits for the year. And so there's a fair amount of billing and collection activity with individual patients. 
 In addition, the AMA introduced new molecular billing codes that went into effect on January 1, and only some payers have adopted these new codes, whereas other payers still wants to use the older stack codes. Some carriers have even asked for both. While we sort out which payers want which billing format, this has increase our "rebill rate" for molecular testing, which in turn, impacted our DSOs a little in Q1 as well.
 In terms of our overall liquidity, as of 03/31, we had $3.1 million of cash and restricted cash on hand and $800,000 available to us under our credit facility as compared to $3.1 million of cash and $1.1 million of availability at December 31.
 We announced on March 28 that we amended our accounts receivable backed credit facility to increase our maximum availability to $8 million, up from a previous maximum availability of $5 million, subject to a formula based on qualified receivables. However, we have the right to increase this maximum further to up to $10 million in $1 million increments. 
 Our cash flow from operations in Q1 was a use of $1.1 million as compared to a use of $1.5 million in Q1 2011. As a result of the increase in accounts receivable we generally experienced in Q1, our cash flow from operations is usually negative in the first quarter of each year.
 In quarter 1, we also used $1.3 million in investing activities, $1.04 million of which, which resulted from the cash portion of the upfront payment to help Discovery Corp. pursuant to the licensing agreement we entered into in January. The remainder was from unfinanced CapEx.
 Turning now to the guidance we issued this morning for the full year and second quarter of 2012. Based on the strength of our Q1 performance, we are reinstating and raising our full year 2012 revenue guidance to $57 million to $63 million, which is a 5.6% to 6.8% increase from the original guidance we issued in mid-February of $54 million to $59 million. We are also reinstating our original full year 2012 EPS guidance of $0.02 to $0.04 per share. Although the expiration of the TC Grandfather Clause will have a modest impact to our earnings in the second of the year, our business is growing rapidly and we believe that we should be able to offset these impacts to a continued growth and productivity improvements in fairly short order. Thus, we are leaving our original EPS guidance unchanged for the year despite the anticipated change in reimbursement.
 For the second quarter of 2012, we are expecting revenues of $15.5 million to $16 million. At the $15.75 million midpoint of this range, this would imply a 50.5% year-over-year growth rate from the $10.5 million of revenue we reported in Q2 2011. We also expect earnings of 0 to $0.01 per share for the second quarter.
 At this point, I would like to close down our formal remarks and open it up for questions. Incidentally, if you are listening to this conference call via webcast only and would like to submit a question, please feel free to e-mail us at sjones@neogenomics.com during the Q&A session, and we will address your question at the end if the subject matter hasn't already been addressed by our call-in listeners. 
 Operator, you may now open up the call for questions. 
Operator: [Operator Instructions]
 Our first question is from the line of Amanda Murphy of William Blair. 
Amanda Murphy: I had a question actually on pricing but thanks for the quantification of the TC Grandfather provision, that's helpful. But what about for the earnings? It seems this quarter was pricing especially with the larger labs, I'm just curious what you guys are seeing out there. Obviously, it's a difficult Medicare environment but I'm curious on the private payer side, what you're seeing. And also, how we should think about kind of contracts over the next, I don't know, year or 2? Are there anything up for renewal that we should be thinking about? 
Douglas VanOort: Thanks for your question. We actually have not experienced any impacts on the private payer side, in fact, we're in conversations with at least one about raising our rates. We generally sign contracts for 2- to 3-year period and they often renew with no adjustment in price unless we push for an increase. As we've stated on earlier calls, we have about 32% of our revenue is reimbursed by insurance companies but 7 points of that is Medicare advantage, so you can take that off the top. And another 5 points of that is for self-insured companies and Indian reservations and municipalities, whatnot. So there's really only about 20% of our revenue that could be on contract and we believe we have about 18% of that already on contract. So there's really -- there's only one major national carrier that we don't have a contract with, that's Cigna, and we're working to get that. But we don't see a lot more exposure to going on contract and we're actually hopeful that now that enough time has gone by, in some of our earlier conntacts, we can start to renegotiate those up. 
Amanda Murphy: Got it, okay. And in terms of the quantification that you provided for the TC Grandfather situation, I'm just curious whether -- it seems like there's a lot of puts and takes there. So I'm just curious how you thought about that in terms of quantifying the exposure and then how should we think about sort of potential risk to that number and potential upside? Is there a way we can quantify that in some fashion? 
Douglas VanOort: So this has been an enormous undertaking at NeoGenomics with a lot of resources going into trying to quantify this. We have approximately 140 to 150 hospital clients that got -- that may get caught up in this, in our "grandfather." The only test that really come into play here are those that are reimbursed off the physician fee schedule, which are predominantly flow cytometry, FISH and in immunohistochemistry. When we boil it all down, we think it's about 16% to 18% of our total revenue that is exposed to this. And we could see, in some cases, as much as a 25% or even 50% reduction from what the Medicare reimbursement was in some of these things. And so we believe that when you extrapolate that over all of our revenue, it winds up being somewhere on the order of 5% to 8% range for the overall average revenue reduction, revenue per test reduction. The upside is that the Grandfather Clause has extended further. Obviously, that reduction won't happen, and we probably will experience significantly better profitability in the second half of the year. We don't believe that there's a lot of downside to that. I guess, you can never predict the future with a lot of accuracy but we've done a fairly exhaustive analysis of what we expect to happen and we are well into having discussions with our hospitals at this point in time. There is a small piece that revenue that comes to us through pathology practices that may originate from a hospital that we just don't have a lot of insight into. So I suppose there is some nuance we could have under-quantified that piece, but we did make good face effort to get it that as well. 
Amanda Murphy: Got it, okay. And then just last one for me. On the sales foresight. It sounds like that's a meaningful productivity, increases both with the sales force and the lab side of it as well. But I'm curious with the sales side of it, how far do you think that productivity measure can go? I mean, how do you think about sort of just the sales force overall and kind of can you see that productivity number go up even more? And then just also curious, what your long-term thoughts are on the sales force are you planning on adding meaningfully over the next couple of years? 
Douglas VanOort: Amanda, this is Doug. Thanks for the question. We have had very good success driving productivity through our sales force. And we believe that there is more productivity gains there. Part of -- in addition to the training and all of the development activities that we have undertaken, we have benefited from longevity in our sales force. So we have not had a lot of turnover. In our business, it does matter when people are in the territory for a while and we have some very, very savvy and experienced territory business managers in the field now who are very productive. We conduct pretty rigorous reviews on a monthly basis of our pipelines. And the pipelines virtually across the board are very healthy at this point. We do intend to add to our sales team, although we're doing that in a pretty disciplined way and our additions to the team will probably come in the western part of the country as we go through the year. 
Operator: Our next question is from Kevin DeGeeter of Ladenburg Thalmann. 
Kevin DeGeeter: A couple of kind of maybe big picture questions for me as well. You mentioned in the prepared script that you continue to do experienced market share gain. How much of that is, in your view, related to some amount of customer dislocation involving a lot of the M&A on your peer group and kind of parse that out from just kind of blocking and tackling sort of competitive wins, where there are stable relationships on the practice side? 
Douglas VanOort: Thanks, Kevin, for the question. So we do believe we're taking market share. Some of that is anecdotal, we hear it from a lot of our competitors what they're doing. We think that our service levels have remained very, very consistent. Our sales force has been also very consistent and that's driving natural growth. There has been some dislocation as a result of M&A activity in the industry, and through that period, we've been quite stable. We do believe that our service levels are as good or better than anyone in the industry and we hear that a lot. So we don't lose a lot of clients and that really helps a lot. As you know, there has been a lot of activity in the M&A side. We keep our heads down and remain very focused on what we're doing and we are also focused on larger accounts. Our target customers tend to be the larger pathology groups that are getting larger and taking share themselves and I think that's been helpful. The other thing that's been helpful is we have expanded our test offering, and as we mentioned in our remarks, we continue to do that, particularly in the molecular and immunohistochemistry area and that's driving share of wallet gains to NeoGenomics as well. 
Kevin DeGeeter: Okay. And maybe on a related question to your comments on growth of test menu. The molecular and some of the IHC tests do carry lower product revenue per test, [indiscernible] metric and a little bit different gross margin profile than, definitely, some of the FISH tests. How do we think about now with -- using base case assumptions that the TC Grandfather Clause goes away, how do we just think about metrics here? Less on revenue per test, although I'd appreciate maybe a little color on that but just kind of your target gross margins as the test menu evolves here a little bit and the mix evolves. 
Douglas VanOort: Well, Kevin, I would say that what's important to our business is productivity gains. And as we generate more volume through our laboratory, that generates incremental gross margin and profitability. But we're also working very hard on other productivity and efficiency gains and on reducing the cost of our testing in molecular and IHC labs. So even though the average revenue per test may decline as a result of the relative mix of those product lines, we're also working very hard to cost reduce in those areas, as well as in other areas of our laboratory. So we believe, let's say, absent the TC Grandfather Clause expiration, I think we have said that we intended to drive our gross margins into the 50% range. And 
 we've given you some indication as to the impact of the TC Grandfather Clause, but after quarter 3, we will resume our drive to increase our gross margins. 
George Cardoza: So, Kevin, the way you can think about this is you lose some revenue from the TC Grandfather impact but you won't have incremental bad debt on that or incremental commissions on the lost revenues. So you use a number of sort of 85% to 88% of the dollars of lost revenue will be the margin impact before productivity increases. But as Doug pointed out in his remarks, we had a 6.3% reduction in cost last year and we actually increased our gross margin by 60 basis points over a 1-year period. We are well in stride in terms of making productivity improvements. You can't foresee exactly what quarter they're going to show up and what magnitude but we believe they're going to continue to show up in a meaningful way throughout the balance of this year and next year. And then this will just be the 2012 issue we had to deal with. And the good news is, as Doug mentioned, is we're much stronger and much more able to absorb this than we were even just 1 year ago. 
Douglas VanOort: Yes. I would just add one thing and that's that we do continue to invest pretty aggressively in our business and, particularly in new test development. So some of these tests will help us to gain further market share and some of these tests will generate additional clients. 
Kevin DeGeeter: That's helpful. And just lastly here. Can you comment on sort of availability of qualified lab techs and when -- how we should think about -- are you're looking to make a number of hires out in Irvine versus some of the facilities in Florida, and just sort of the luxury problem of how do you keep up with the test volume growth to make sure you -- we don't get in a situation we bumped into a couple of quarters ago of really sort of demand being out in front of what you could process in-house? 
Douglas VanOort: Yes. Okay. Well, thanks again for the question. Even a couple of quarters ago, we were relatively successful in maintaining pretty good turnaround times despite the increased volume, but we're in a much better condition now to deal with that given that we have a Tampa Lab, we have an Irvine lab, we have a lab in Nashville and a lab here in Fort Myers, Florida. And so we have more opportunity to hire very qualified people. And because the company is doing well, we are benefiting from having more people actually come to us and want to work for us proactively. So that's helping as well. 
Operator: [Operator Instructions] Next question is coming from the line of Mark Zinski with 21st Century Equity. 
Mark Zinski: I just wanted to confirm the sales rep count, is that still at 21 then? 
Douglas VanOort: Well, the sales representatives, we have 20 active territories right now, and we have one opening there. 
Mark Zinski: Okay. There recently was a Supreme Court ruling, which kind of put a little, I guess, damper on the proprietary aspect of genetic testing. Do you see that having any kind of impact on your corporate strategy going forward and in terms of how you look to invest in proprietary test development? 
Douglas VanOort: Well, we actually think that's probably good for us. We do have, in fact, a much more active strategy and initiative in launching new tests and some of those may be proprietary. Part of our licensing arrangement with Health Discovery allowed us to have tools that would help us in biomarker discovery, as well as in the clinical use of testing. And so we feel that we've got some proprietary tools to help us here. And the fact that it's more difficult for a lot of these development companies, pure development companies to lock up genes, I think is helpful to us in the long run. 
Mark Zinski: Okay. And then the Grandfather Clause, I mean, you had mentioned that you think, I believe, you said that you thought that it was up -- there was a pretty strong chance that it was it would not be renewed. Is that just -- is that based on your sort of industry contacts and such? Or is it still kind of up in the air, a 50-50 kind of proposition? 
Steven Jones: It's really hard for us to handicap this thing. But what we're hearing is that the way Congress works these days, there needs to be some legislation that they can attach this legislation to. And given that we're in an election year, the probability, as we understand it, of solo legislation going through Congress is not high. So we are hoping for the best and planning for the worst on this one. 
Mark Zinski: Okay. And then just lastly. In terms of new test development, the 25 molecular tests you mentioned, can you kind of give us some color in terms of what -- from a categorical basis, what kinds of tests these are and were these pretty much in the pipeline already or have some of these key new personnel hires you've made recently kind of contributed to the progress of this development as well? 
Robert Gasparini: Mark, this is Bob Gasparini. Maybe I'll start this one and ask Dr. Albitar to balance that. To answer the first half of your question, the test that we're bringing on board generally fall into 3 different categories. A lot of what we have been doing on the molecular side prior to Dr. Albitar coming on board has been known as a point mutation analysis as we look for specific mutations within parts of genes for diseases like breast and colon and various leukemias, et cetera. So the first general category that's going to encompass some of these 25 or more new molecular tests involve sequence analysis and that's a little bit different from point mutation in that you can look at the entire gene and the entire area rather than specific points along that gene. So sequence analysis is one of the categories. A fragment length analysis is another category and one of the test that we've been offering for years is B- and T-cell gene arrangement where you can look for clonality and you can look for specific abnormal colons that are present in leukemia or lymphoma. And there are other fragment length tests. And so again It represents a separate category. And third category that we're expending where we only offer, prior to Dr. Albitar joining us, one test and those are known as RT-PCR, where you're not looking at DNA mutations or abnormalities, but you're looking at RNA and we used to offer a RT-PCR test for BCR-ABL, a relatively rare but well-known leukemia known as CML. There are a plethora of RT-PCR tests that we are currently working on right now under Dr. Albitar leadership that will look at RNA from a number of different disorders in addition to CML. And then I think the last question that I heard you ask and that is personnel and that ties to, I think, a previous question also. And that is the advantage, I think, of having multiple laboratories across the United States, including the one in California is that we do have access to highly qualified and skilled laboratory technologists. And if California has any type of laboratory, skilled laboratory technologists, there are molecular technologists out there. And so Dr. Albitar has been -- and our neo-team out there have been very successful in being able to recruit molecular biologists to help us grow this particular product offering. 
Mark Zinski: Okay, that's helpful. And I guess, just as a follow-up to that. As a customer then, in terms of the product chain, will the molecular test sort of be kind of a third and fourth option that adds clarity after you've already performed maybe 1 or 2 key tests? 
Robert Gasparini: Yes. Mark, that's an excellent question and I think Dr. Albitar might be able to comment more on that. What you're referring to is algorithmic approaches to answering questions. I mean, because the bottom line is we're trying to answer questions that the clinician asks. And so if we can use 1 or 2 tests, depending on what the question is they're asking, Cytogenetics and FISH and/or flow typically answer the front line questions for at least hematopoietic disease. For some of the solid tumor diseases, it may be that we go right to a molecular test. So that there is not going to be as classic an algorithm or a cascade with regard to what we're used to on the hematopoietic side. Dr. Albitar, do you want to maybe comment on that? 
Maher Albitar: The focus of our testing is really personalized medicine. And we are investing on a lot, we are thinking unknown diagnosis, to confirm diagnosis or to nearly prognosis, help clinicians to determine the causes of the disease, as well as early detections and monitoring of some of the or determining what kind of therapy this patient needs. So our tests really, the way our thinking going is to support physicians in these areas and making more informed decisions. But a major focus going beyond the hematologic diseases into the solid tumors. 
Mark Zinski: Okay. So do you expect then, I mean, some of these new molecular tests will address how the tumors been? 
Maher Albitar: Will the -- how the -- I'm sorry? 
Mark Zinski: Will some of these 25 molecular tests then involve solid tumor analysis? 
Maher Albitar: Absolutely. As a matter of fact, the majority will involve solid tumors. 
George Cardoza: Mark, we've got one more question are in the queue here, I'd like the person to get in, so I could ask you to get back in the queue if you have sort of follow-up questions. 
Operator: Our next question is from the line of Grant Zeng with Zacks Investment. 
Grant Zeng: I just have a quick question about the R&D spend here. It looks like you have R&D spending for the first time in this quarter. My question is, I guess, this is related to the HDC acquisition on the marketing that we there just [indiscernible] increase the next 3 quarters and can you give us a little more color on this question? 
Steven Jones: Sure. We announced in our Q4 call in mid February that we expected to spend $1 million to $1.5 million more in R&D this year as a result of expanding our molecular testing menu and our development activities with Health Discovery Corp. Obviously, when you are doing trials and whatnot, you usually have paper specimens and whatnot. We're sticking with that. We generally have a small increase in R&D anyway each year as we bring up more test development but you'll see this number probably start to get up into the $0.5 million per quarter range here in Q2 and Q3, and it may even go up a little bit from there. But as we have mentioned on our Q4 conference call in February, we expect to continue to operate profitably and that we want to balance all of our growth initiatives with what we're doing on the profitability side. And so we're not going to get crazy about this. We're making selective bets that we think can have a near-term impact and, yes, we're spending some extra money on it now, but early results are looking encouraging on the things that we're spending money on. 
 Okay, I have a few questions that have come in by e-mail. This is an institutional investor who comments, gross receivables increased 29% sequentially while the allowance for doubtful accounts increased only 7%. The allowance now represents 18% of gross receivables while it averaged 21.5% over the last 4 quarters and was 21.8% in 2010. Why this significant change and it appears the improvement gross margin was largely a function of the change in the provisioning policy.
 Well, first off, we -- our bad debt reserves are booked against G&A not against gross margins. So it has absolutely nothing to do with gross margin. The gross margin, as we talk about improvements, came from increases in lab productivity. In the fourth quarter of every year, we do a fairly extensive analysis of where we are versus our aged receivables and our allowance, and generally, you'll see a lot higher writeoffs against the allowance in the fourth quarter than in other quarters because we're, obviously, preparing for the full year audit. As a result of going on contract with more and more managed-care providers over the last 2 years, we know to the penny what we expect to receive, and so we are able to reserve a little bit less than we did perhaps 2 years ago. So this is just a function of scale and getting better at what we do but there's no real mystery in this. This is -- I would expect it will operate in the 18% to 20% range here this year as we pull it down a little bit from last year.
 We also got as series of questions from another institutional investor. Can you please provide an update on the Abbott development program? How are things progressing with this next test? I'm going to ask Doug to step in on that one. 
Douglas VanOort: So we have a number of development initiatives underway. We've talked a little bit about the initiatives with the Health Discovery licensing arrangement. We also have some interesting opportunities, in addition, alongside the strategic agreement that we developed with Abbott a couple of years ago. We continue to work on developing the second test under our agreement with Abbott Molecular and we've had some pretty good results. What we have decided to do was to go back and increase our validation, the size of our validation test. And we expect now to, in the third quarter, probably have a much better clinical validation and we're hoping that this test is going to be every bit as successful as we ever thought it would be. So we're continuing to work on it. 
Steven Jones: Okay. A few other follow-up questions here from the same writer. We discussed the TC Grandfather, so I'm not going to get into that out again. Overall volumes. Can you comment a little bit about the trends you're seeing in the context, the normal seasonality, weather patterns were crazy this year and the snowbirds didn't really head south. Curious as to your thoughts on how this might impact normal seasonal trends.
 We do usually experience a pretty strong uptick in the first quarter because about 1/3 or so of our business still is derived from the state of Florida. That last year, our business was impacted by the extreme snowstorms throughout a lot of the Northeast and the Central states in the winter months. Obviously, we had a snap back from that. But the first quarter is generally stronger for us anyway. The second quarter, things do begin to slow down a little bit in the -- as the snowbirds begin to head up south. We don't anticipate any decreases in revenue in Q2 and we -- certainly, our guidance would imply a sequential increase in quarterly revenue. It's really Q3 where we start to see the biggest impact in seasonality each year, although last year, we did have nice sequential increases in Q3 as well. Obviously, in Q3 of this year, we'll have the TC Grandfather impacts and the seasonality impacts. And so we might see a little bit of sequential growth pressure there in Q3 for this year.
 Last question here I have is, is there any update on a NASDAQ listing?
 I am actually delighted to inform everyone that the NASDAQ's application to lower the minimum price for the market value of equity securities threshold of a listing, it was approved by the SEC just last week and we got notice from NASDAQ on that. And so once we get to $2 per share for 90 days in a row, we can move up to the NASDAQ. We've had fairly extensive conversations with NASDAQ and hope to be completing our application here in the second quarter to get ready for that. But we are very focused on trying to achieve this. And given the recent performance of the company, we're hopeful that more institutional investors will perhaps help to see the value in our company and help move the price up.
 I just had one final question roll in here and I'll get this one quickly.
 There's, obviously, been a significant amount of M&A activity in the testing area, you are one of the last player standing. You are greater than $50 million annual revenue run rate and profitable. Have you received any recent inquiries?
 As a matter of public policy and legal policy, we just don't comment on strategic activity. We've stated a number of times in the past that everybody talks to everybody in this industry and we're no different than anybody. So we just don't comment on any kind of specific conversations that we're having.
 Doug, I'll turn it back to you to wrap it up. 
Douglas VanOort: All right, thanks, Steve. So as we end this call, I would like to recognize all 246 now of our NeoGenomics team members around the country for their dedication and commitment to building a world-class cancer genetics testing program. And on behalf of our team, I want to thank you for your time in joining us this morning for our quarter 1 2012 earnings call, and let you know that our quarter 2 2012 earnings call will be on or around Thursday, July 19. For those of you listening that are investors or thinking about investing in NeoGenomics, we thank you for your interest in our company. Goodbye. 
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.